Operator: Welcome to the TeleTech first quarter 2008 business update conference call. (Operator Instructions) I’d now like to turn the call over to John Troka, TeleTech’s Chief Financial Officer.
John Troka: Good morning, and thank you for joining us today. Karen Breen, our Treasurer and Vice President of Investor Relations is unable to be with us today. Ken Tuchman, our Chairman and Chief Executive Officer and I will be reading today’s call to discuss certain business highlights for the first quarter ended March 31, 2008. Before we begin, let me briefly review a few items related to our press release issued yesterday as well as some cautionary statements regarding risk factors in forward-looking statements. Late February 2008, we announced that the audit committee completed a review of our historical equity-based compensation practices. Based on the committee’s review and management’s additional review, TeleTech continues to diligently work with its auditors to complete the necessary restatement and filing of its financial statements for fiscal years 2005 and 2006, and for the first two quarters of 2007. Restatement adjustments for periods prior to 2005 will be reflected as adjustments to the beginning balance of stockholders’ equity in 2005. As a restatement has not yet been completed, all business highlights released today and discussed on our conference call should be considered preliminary and subject to change. In addition, I want to remind you of our disclosure regarding forward-looking statements. Matters discussed on today’s conference call may include forward-looking statements relating to our business outlook, future plans and developments, financial goals and operating performance, and these are based on management’s current beliefs and assumptions. Such statements are subject to various risks, uncertainties and other factors that may cause our actual results, performance and achievements to differ materially from those described. Such factors include, but are not limited to: Reliance on a few major clients; the risk associated with lower profitability from or the loss of one or more significant client relationships; Risk associated with achieving the company’s 2008 and 2009 financial goals; Execution risk associated with expanding capacity in a timely manner to meet demand; Forthcoming financial restatements related to previous periods; Our ability to meet the requirements set forth by various regulatory agencies related to the timing of the forthcoming restatements; And the possibility of additional asset impairment and restructuring charges. A replay of this conference call will be available on our website through May 28, 2008. I will now turn the call over to Ken Tuchman, our Chairman and Chief Executive Officer.
Kenneth Tuchman: Thank you. Good morning, everyone. Let me first review our first quarter 2008 business highlights. I’m pleased to report that we achieved our 10th consecutive quarter of double-digit revenue growth. First quarter revenue was a record $368 million, representing a 10.5% increase over the year ago quarter. The pace and the size of new business wins continue to accelerate during the first quarter. We signed an estimated $102 million in annualized revenue from new and expanded client relationships. This new revenue was balanced across our target verticals and geographies and brings our total revenues signed over the last three quarters to more than $300 million. This is the strongest pace of new business we’ve experienced in the past seven years, and it continues to drive our growth rates above the industry average. Over the last two years, our BPO revenue has grown at a compounded annual growth rate of 16%, which we attribute in large part to our size, scale and reputation. As an increasing number of companies are consolidating their outsource business processes, they are looking to partner only with large financially stable BPO providers, who can successfully scale complex outsource solutions across the globe. At the same time, the field of qualified providers has narrowed significantly. TeleTech is uniquely positioned to capture this market opportunity given our centralized global delivery model, our innovative, high quality solutions and our expansive offshore footprint. Our offshore delivery capacity now spans eight countries and includes approximately 24,000 BPO workstations, representing more than 60% of our global delivery capabilities. First quarter offshore revenue reached a record $164 million and grew nearly 30% over the year ago quarter. We believe we are one of the largest and most geographically diverse providers of offshore BPO services in our industry. We are committed to further diversifying our offshore presence and are continually identifying and evaluating potential new offshore locations. Last year, we were one of the first global outsource providers to enter the African continent as an offshore market. Our facility in South Africa is now fully operational and construction is underway to expand this facility to 1,400 workstations by the end of 2008. We have a strong partnership with the government and have plans for further expansion in South Africa. In addition, our current plans include entering at least one new offshore market by the end of 2008. We expect our offshore revenue to increase to approximately 50% of our total 2008 revenue, and our offshore capacity will represent nearly 70% of our global delivery capacity by year-end. The new business signed during the first quarter validates the importance of our global footprint and is representative of the increasingly complex BPO work we are performing on behalf of our clients. A few examples of the new business launching during the first quarter include: The launch of back-office services, and the expansion of a multi-lingual Tier 1 and Tier 2 technical support for a leading technology products company across five countries; The significant expansion of our support of back-office processes for a longstanding international telecommunications client; And the delivery of front and back-office services on behalf of a leading automobile manufacturer to customers across Europe in 18 languages. Looking forward, we will continue to invest in our delivery platform as well as in new proprietary tools and technology to ensure that we’re constantly improving the customer experience while increasing operational efficiencies for our clients. Let me now turn to our business outlook. Having achieved solid first quarter results in light of a dynamic global economy, we are reiterating our full year 2008 and 2009 business outlook. Our goal is to build a long-term sustainable global business and we are executing on this goal despite a weak U.S. dollar and rising energy costs. We continue to aggressively manage these economic risks through ongoing cost improvement initiatives, rationalization of our global capacity, a robust foreign currency hedging program and proactive pricing discussions with our clients. While the current economic environment presents challenges for us and our clients, it also represents a positive catalyst for our business. Under current economic conditions, our services become even more strategically relevant as business leaders of Global 1000 companies become increasingly motivated to turn to outsourcing as a mean for improving the cost efficiency of their business processes. In addition, we see the outsourcing trend that began in the U.S. further expanding as it is being adopted by businesses around the globe. Companies in countries which have historically looked unfavorably on outsourcing are now not only embracing outsourcing but are moving immediately to an offshore outsourcing model. The market is clearly favoring our capabilities as evidenced by the unprecedented amounts of new business we have signed during the past nine months. We continue to sign long-term reoccurring revenue with both new and existing clients, and we believe our revenue will grow between 12% and 15% in 2008 and 2009. Furthermore, we believe our revenue run rate by the end of 2010 will approach an annualized run rate of approximately $2 billion. In summary, we’re pleased with our strong start to 2008 and we’re capitalizing on the Global 1000 flight to quality, capability, financial stability, performance and geographic reach. We’re confident that our market leadership will enable us to continue to enjoy a strong demand for our outstanding array of offerings. Let me now turn the call over to John Troka, after which I’ll make a few closing remarks.
John Troka: Thank you, Ken, and good morning again. As Ken has just indicated, we are pleased with our solid first quarter performance. As discussed when we began the call, we are diligently working with our current and former auditors to complete the necessary restatement of our financial statements resulting from our review of our historical equity compensation practices. We have made significant progress and at this time, our work in nearly complete. The next step is for our auditors to complete their final testing and review. We continue to be limited in the amount of financial information we can discuss, and as a reminder again, all our business highlights discussed today should be considered preliminary and subject to change. Let me now provide some additional insight into our business highlights for the first quarter. Our first quarter revenue was $368 million, an increase of 10.5% over the year ago quarter. Keep in mind the first quarter 2008 revenue excludes our formerly owned database and marketing company Newgen and our India JV, both of which were sold in the latter half of 2007. Excluding the revenue of these entities from the first quarter of 2007, our year-over-year revenue growth was 13.6%. Turning to the balance sheet, we ended the quarter with $98 million in cash and cash equivalents and total debt of $74 million. Our DSOs were 67 days in the first quarter and within our targeted range of 65 to 70 days. Our capital expenditures net of investment incentives were in line with our company’s expectations totaling approximately $15 million in the first quarter. Approximately 80% of our total capital spending continues to be for growth related needs with the balance for improving our embedded infrastructure. As we have previously discussed, our share repurchase program has been suspended since the latter part of 2007 due to the equity compensation review. Since the program’s inception in 2001, our strong financial position has enabled us to invest $162 million to acquire approximately 20% of our shares outstanding. Once we become current with our SEC filings, we intend to promptly reinitiate our repurchase program. Regarding our business outlook for 2008, we are reaffirming our goal to grow revenue by 12% to 15%, while increasing our operating margin by approximately 200 basis points over 2007 before any unusual charges. We believe much of our revenue and operating margin growth will come from continued expansion in offshore markets. We expect to add approximately 7000 workstations in predominantly offshore markets in 2008 with an estimated capital expenditure budget of $70 million. For 2009, we believe our revenue will again range between 12% and 15% with at least 100 basis point improvement in our operating margin over 2008, excluding unusual charges, if any. In conclusion, we are pleased with our performance in the first quarter of 2008, our 10th consecutive quarter of double-digit top line growth demonstrates our ability to grow our existing client base, win new clients, and continue to deliver our enhanced service offerings. We remain focused on our goal of building a long-term sustainable global business. With that, I will turn the call back over to Ken.
Kenneth Tuchman: Thank you, John. In closing, we continue to achieve industry leading growth rates while delivering best-in-class global service offerings to our worldwide clients. We believe our solid performance as we begin 2008 reinforces our ability to perform well in a dynamic global economy and demonstrates our leadership position in our industry. With that, we will open the call to your questions about the business operations and outlook. Thank you. 
Operator: Our first question is from Ashwin Shirvaikar – Citigroup.
Ashwin Shirvaikar – Citigroup : Ken, John, congratulations on the quarter. First question is the timing for the filing to the extent you can comment on it. Especially, will we get all of them all at once or will they come out over a period of time, if you can comment on that?
John Troka: Relative to the timing, we can’t give you a specific timing. Again, we are rapidly approaching what we believe is the end of this process. When we do file, we will be filing all of the periods concurrently, if you will, or sequentially, but they will all come out at the same time.
Kenneth Tuchman: We believe based on the work that is really left for us to do that we are very close. Unfortunately, we can’t quote a date because it’s really up to our auditors for them to complete their work and it appears that they are also closing in and finishing up their work based on the limited request now that are coming from us compared to what was coming up. So we feel very confident that this is something that’s going to be wrapped up in the very near future.
Ashwin Shirvaikar – Citigroup : Okay. That’s good to know. Can you talk about the status of your older, lower margin contracts that you’re trying to either renegotiate or exit over a period of time; how does that affect the 12% to 15% guidance for this year and next year?
Kenneth Tuchman: We budget on an annual basis X amount of business that will ultimately be unsuccessful in achieving margin increases and therefore, we then work on a professional transition with the client. What I would tell you is that we’re happy with what we’ve achieved thus far. We believe that clients are in fact empathetic to the rising costs that are taking place across all businesses because they are experiencing it themselves, as it relates to energy costs and food prices et cetera. And so, we feel pretty good about the price increases that we’ve been unable to achieve and are going to continue to stay on that so that the majority of our business is achieving our targeted margins. I would tell you that, for the most part, we are on track with all the pricing increases that we were expecting to achieve at this point in time of the year.
Ashwin Shirvaikar – Citigroup : Okay. And last question, you have had really some fabulous signings over the last nine months or so. What do your clients that sign up with you tell you or the couple of factors that shoo them towards you? And conversely, the ones that you lost, what’s the basis for a client to go away to someone else?
Kenneth Tuchman: I think that’s a good question. I think the majority of the large deals that we’ve been done, clients are basically saying that they are very focused on consolidation of vendors. That they want to have as few as one vendor and no more than four vendors. Therefore, they need to work with somebody that’s got scale and that can accept the amount of business in a very short period of time. So, if you look at a set of a multiple of the recent signings we’ve done, these deals have had anywhere from 2000 to 4000 workstations involved in them and therefore, there is only a handful of vendors that can handle that type of global ramp up in multiple countries simultaneously. So I think that what we’re hearing from people is that they love our technology; they love the reliability of the technology and the uptime that we report on a daily basis. They love the fact that we have total diversification that we can bail over from one country to another country. They talk a lot about as we enter these emerging markets, the environmental risk that exist and the political risks that exist there and that we have the ability to instantaneously move volumes from one country to another country, which is why our average large client is in five to eight countries so that their workloads are always balanced and that we can survive an earthquake or Tsunami or some other type of environmental risk. I think that they are very comforted by the fact that we’ve been doing this for 26 years and that we’ve got 110 or 115 of the Global 1000 that are very referenceable. So I think that whenever economies start to tighten across the globe, companies tend to get very conservative and they tend to focus on what they believe is a safe choice, and we’re viewed in the industry and by our clients as a very safe choice. The second part of your question regarding us losing business, it’s really quite rare that we would ever lose business for performances reasons. To the point where I can’t at this moment give you an example, not because I don’t want to, but because I don’t have one. That said, there is definitely business where we’ve attempted very diligently and professionally for, in some cases, a year plus to try to make the account profitable and it’s not possible for us to make it profitable due to the fact that: The client is either unwilling to allow us to make operational changes; They are unwilling to allow us to relocate the business to a lower cost environment; Or they are unwilling to keep up with the cost of living increases that are in their contract or that are additional increases because there has been scope change in their work. In that case after we have tried every single option possible, then what we look to do is a professional transition to another vendor that is willing to take the business at either a much lower margin or in some cases a negative margin.
Ashwin Shirvaikar – Citigroup : Okay. Thanks for that update. Great.
Operator: Our next question is from Josh Vogel – Sidoti & Co.
Josh Vogel – Sidoti & Co : My first question is, I was curious how long does it typically take to ramp new business? And basically of the $200 million you added last year of the new business that is there, will it be fully contributing to your top line by the end of this year?
John Troka: Josh, at this point, the length it takes is really dependent on the complexity and the size of the program, anywhere from literally 6 to 12 months.
Josh Vogel – Sidoti & Co : Okay. And of the $200 million you added in the second half of 2007, is that included in your guidance of 12% to 15% for 2008?
John Troka: Yes. The guidance we have includes how we expect that revenue to ramp through the various periods.
Josh Vogel – Sidoti & Co : Okay. And now of your new business wins last quarter, are you taking any market share from any of your competitors or are these clients that are outsourcing for the first time?
Kenneth Tuchman: It’s both. We are definitely taking market share and our philosophy in our business has always been that there is plenty of business out there for everybody. So we’ve never targeted business from competitors and have no intention to ever do so in a marketplace that is so large and growing so rapidly. That said, because the marketplace is consolidating, several of our existing clients that historically were with multiple vendors over the last probably 12 months have been pulling significant amounts of business from competitors and have been consolidating that with us.
Josh Vogel – Sidoti & Co : Okay. And are you noticing this across any notable verticals where you are seeing most of these wins?
Kenneth Tuchman: We are actually seeing it across the globe and across all verticals. We were just looking at that last night.
Josh Vogel – Sidoti & Co : Okay. Great. Of these 7000 seats you plan to build out this year, can you give us a timeline of the deployments?
Kenneth Tuchman: John, do we have that?
John Troka: What I’m going to tell you, Josh, is that we have probably half of those coming on in the first of the year, with a number of them coming on here in the second quarter. And again then, split probably more towards the fourth quarter for the latter half of them, similar to last year.
Josh Vogel – Sidoti & Co : Okay.
Kenneth Tuchman: Again, we try to do as much just in time capacity as possible so we’re not sitting on too much idle capacity. But I think that, like John said, 50% of it by the end of the first half and then the rest of it more so in the fourth quarter.
Josh Vogel – Sidoti & Co : Okay. You gave us in February the capacity utilization metric; could you give it us again for the shared workstations?
John Troka: 76%; the cash utilization at the end of the quarter on the shared.
Josh Vogel – Sidoti & Co : Okay. And lastly, I believe that CapEx was $62 million last year, is that right?
Kenneth Tuchman: Yes.
Josh Vogel – Sidoti & Co : Okay. And you are building out about 10% fewer seats, but CapEx is going up to $70 million, I was just wondering if it is becoming more expensive to build out seats?
Kenneth Tuchman: No. I think if you look at last year, our estimate was originally $70 million and because we were efficient in the use of our capital, we beat our own number and we’re below that. So we tend to conservatively estimate our CapEx and I don’t think that you should expect our cost going up at all at this point in time based on what we are seeing our construction numbers coming in at. That said, we need to be conservative because it’s safe to say that construction costs right now are showing signs that they could go up.
John Troka: Yes. That coupled with, as Ken indicated in his comments, we’re continuing to reinvest in the business, in our technology and the platform itself, developing new propriety tools that can benefit our customers. And so, we will continue that investment as allowed by, again, the strong financial condition of the company.
Josh Vogel – Sidoti & Co : Okay. Great. Thank you.
Operator: Our next question comes from Robert Evans - Craig-Hallum Capital.
Robert Evans - Craig-Hallum Capital : Good morning and thank you for taking the questions. First, to the degree you can comment as it relates to Q1 margins, should we imply by the fact that you are reiterating your guidance that Q1 margins are on track to get you to the 200 basis points of year-over-year improvement?
Kenneth Tuchman: I think just in the best interest of fair disclosure, it’s safe to say that we are comfortable with our guidance and First Call has numbers out there et cetera, and so we’re comfortable with the guidance, and I really can’t comment with specifically on the quarter until we come out with detailed numbers.
Robert Evans - Craig-Hallum Capital : Okay. Fair enough. And can you comment a little bit more on the business that you won in Q1? Typically, it’s not been as large a signing period for you in the past; why was it stronger now and could you give maybe a percentage of what was new versus existing customers? And I’d also look for what maybe happened U.S. based companies versus international?
Kenneth Tuchman: What we are hearing from CEOs is that most CEOs believe we are in a recession right now. Most CEOs are experiencing significantly higher internal costs because of energy prices, healthcare cost, food, et cetera. Therefore, in order for them to make their budgets, they are looking to outsourcing when in fact historically if they were outsourcing, they were outsourcing smaller amounts of business and therefore, they’re looking to accelerate their outsourcing activities to achieve some cost benefits as well as some strategic capability benefits. We think that that has a lot to do with it and they want to start to achieve those benefits in their fiscal year. I think the second reason is that there has been some execution issues in the industry and I think that the tolerance for not strong execution is getting less and less and less, and consequently people are realizing that you can get what you pay for. We’ve been benefiting from, what I would just call, defect business that’s either gone to countries were the language skills sets aren’t as strong as the countries that we’re operating in or have gone to operators who are having operational issues et cetera. So, I think that the combination of the downturn in the economy and higher cost to our clients throughout their core business is really acting as stimulus and driving them to get serious about outsourcing. I think the other thing is that the size of the deals recently over the last nine months has been significantly larger and it’s not uncommon for clients to come to us with 1000, 2000, 3000 or more workstation requirements. So that obviously has a big impact on our growth when the deal sizes are much larger. I think those are really the things that are driving. And then, the last thing is that I think internationally, we are now seeing growth activity taking place in the U.K. much more so than we were historically seeing. We have expanded in the U.K. both in-country as well as the U.K. is taking advantage of our offshore locations in the Philippines, in South Africa and in Spain et cetera. We are seeing more activity in Spain wanting to offshore to Latin America. So overall, I think that these are all very positive trends. As for the kinds of new business we’ve signed, we signed one of the largest wireless companies in the U.K. that’s now fully operational and is currently expanding with us, again as we speak. We signed one of the larger global automobile companies in the U.K. that we’re providing service across the continental Europe. We significantly added back-office services in the telecom sector where we are doing back-office network provisioning, where we are doing a whole series of non-voice capabilities for a major Telco. So those are just some of the examples of some of the clients, as well as we have seen a significant increase in financial services of banks that are now because of their own financial condition realizing that they can’t perform a lot of the functions that they have been performing in the country that they operate in, whether it be the U.S. or other markets. We have high hopes for our financial services sector to continue to grow.
John Troka: Just add on what Ken said with specifics. As we previously indicated a large amount of our growth recently has come from our existing client base, meaning existing customers. Again, we are seeing 70% to 80% of that growth in the new signings from those customers. The other 20% to 30% is new logos as we call them. I think the key thing though with existing customer is not just by growing the existing programs we’re performing on behalf of those customers, it’s actually doing additional work for them. So much of what we have signed is actually new programs that we have not been doing for these customers as again we prove ourselves in other areas of the business.
Robert Evans - Craig-Hallum Capital : And just to clarify, I think you’d referenced this, but an other way to I think about timing of that new revenue ramp is over a 6 or 12 month period, and I assume that bigger the project, the longer the ramp?
John Troka: Absolutely. The bigger the project, again when you are talking 2000 seats and the complexity of the project, and as Ken indicated, some of these projects are Tier 1, Tier 2 technical support and others. When you’ve got 8 to 10 weeks of training time; in essence that’s two months. If somebody is trying to put 1000 individuals in a single center and we have 5 trainee rooms with 30 individuals in it at a time, so we’re training 150 people a week, you can quickly do the math. There is only so many people that we can get through that process and do it in a way that we can make sure when they come out and are on the phones, that they are delivering the quality experience that we expect of them. So, yes, for the larger complex programs, it is taking upwards of 12 months to get them online completely. It doesn’t mean again that we’re not recognizing revenue in earlier periods, it’s just to get them to their full state.
Kenneth Tuchman: Again I want to stress we’re satisfying the client ramp goals. We’re not in situations where the clients are asking us to ramp faster. If they need us to ramp faster, then we’re introducing additional countries so that we can have multiple management teams working on the project simultaneously, which is our preference. But at the end of the day, we don’t always get to make those decisions.
Robert Evans - Craig-Hallum Capital : Okay. Thank you. And final question, could you give us a ballpark idea of how much revenue is in the needs-to-be–re-priced bucket in terms of what you would say was suboptimal margins?
Kenneth Tuchman: I would say that there is $250 million worth of business that does not meet our threshold or our goals. And that is on track with what once used to be not very long ago, $350 million and we’re comfortable with that. By the end of next year, it will be a number that’s below 5% of our overall revenue and with the company of our size will most likely in the desired state have from 1% to 5% of our revenue that needs to be optimized.
Robert Evans - Craig-Hallum Capital : Okay. Thank you.
Operator: Our next question is from Dhruv Chopra – Morgan Stanley.
Dhruv Chopra – Morgan Stanley : Can you just talk briefly about the relationship you have with Sprint; are there any changes that you’re seeing as the company itself goes under transition, and is there any potential impact from some of the changes like the new joint venture with Clearwire?
Kenneth Tuchman: Thus far, our relationship with Sprint is very strong. Historically, it’s been very strong. We are consistently delivering to their requirements and we believe that Sprint is on track to continue to deliver the volumes that they’ve been historically delivering. We did come to an agreement, which was at our recommendation to idle a couple of locations in Canada, which were unprofitable. And we’re happy that we were able to do that. We’ve successfully transitioned one of those facilities already to another client and are very close to transitioning the next facility to another client even though our goal is actually to idle the facility. We’ve also been able to achieve some cost of living increases with them that we’re very appreciative of and happy about. And we actually believe that the relationship will most likely grow over time, but in different markets, preferably not in Canada, which we told them that we’re not interested at this point in taking on more business in Canada. As it relates to Clearwire, we’re very excited about that. We think it’s a very positive opportunity. We think the concept of more high speed broadband available wirelessly is something that our nation is very thirsty for and that people are going to be interested in signing up for a very high speed service that’s dramatically higher than anything you can get off of an EDDL card. The fact that the partners are Google, the partners are Time Warner, which is our client, the partners are Comcast, I believe, which is our client, and Sprint, we feel like we’re in a very good position to capitalize off of what comes out of that new joint venture business offering.
Dhruv Chopra – Morgan Stanley : Great. Thank you. Just a housekeeping question, John. Can you give us a breakdown on the revenue between North America and international BPO?
John Troka: Hang on, Dhruv, we are looking to see if I’ve got that right here.
Dhruv Chopra – Morgan Stanley : And Ken, I might as well squeeze in my last one. Could you just update us on the progress of @Home and on OnDemand?
Kenneth Tuchman: @Home is doing fine. I would say that in the short term, we’ve not seen as much growth in @Home as we were seeing earlier. We believe that it is more due to this recessionary period and people are really seeking lower cost opportunities in @Home because it is offered in primarily G-7 type countries. It’s obviously a service that is cost-competitive, but it’s also more expensive than handling the service offshore. That said, we believe that we will see growth accelerating as we start to show signs of improvement in the economy. OnDemand is doing just fine. We are actually in the process of bringing in some senior new executives to try to get that kicked in the higher gear. We are currently working on some exciting deals that are in our pipeline that would be important to @Home and material to @Home as far as size and scale and who the clients are. But that said, I would tell you that because we’ve been growing so fast, our primary business focus has really been just on the core business to make sure that we’re delivering on the promise of the quality and the capability. But shortly, we’ll have some people that are solely focused on growing that division and I think that that will benefit us tremendously.
John Troka: Dhruv, unfortunately, we don’t have that metric here with us. So rather than giving you an incorrect answer, let me get it and give it to you.
Dhruv Chopra – Morgan Stanley : Great. Thank you.
Operator: Our next question is from Thomas Smith - First Analysis.
Thomas Smith - First Analysis : I know you mentioned $102 million in new business for this quarter. I was wondering how that compared to a year ago, and also, the second quarter of 2007. It sounds like it was about $100 million in each of the third and fourth quarters of last year. So what did the first half of last year look like?
Kenneth Tuchman: It was significantly less. Deb, is that a number that we would have right at our fingertip? Once again, just because Karen Breen is not here, she is out on bereavement, what we’d be happy to do is get back to you within the next 24 hours and give you that number. And I apologize I don’t have it at my fingertips.
Thomas Smith - First Analysis : That’s fine. Next question is on the seat count. Looks like it is actually went down a couple of 100 in the first quarter. First of all, is that correct? If it is, I was just wondering where new seats were being added and where some seats got taken out. And also if you can comment on current seat count in South Africa since you’d mentioned, I think, that you wanted it to be around 1400 by year end?
Kenneth Tuchman: There are currently 600 workstations there. We are currently in the construction phase right now expanding to the full 1400. And we have a high degree of confidence that that country will be sold out before the capacity is actually even available. As for the workstation count being down, what I would just say to you is that we are constantly optimizing. We did take out some facilities in Spain that were not profitable, and were losing money. But I don’t know if that would have impacted the number; certainly wouldn’t have impacted it in a meaningful way.
John Troka: We’ve taken out the capacity in Spain. We have taken out the capacity with the JV in India. And again, just in some of the other countries, Australia, the U.S., Canada, as Ken mentioned earlier, where we’re looking at our capacity and taking it down as appropriate. Primary growth is in the Philippines and in Latin America, primarily, in Mexico.
Thomas Smith - First Analysis : Okay. And then you talked about the average deal size. I was just wondering if you could comment for the first quarter the new business, what is the ballpark of the average deal size? Because it sounds like it would be limited to just a couple of clients, so I just want to see if that’s the case?
Kenneth Tuchman: No, not necessarily. As far as the new clients, I’d say the average deal size is probably $25 to $60 million per annum. But as there is a lot of, we call then cats and dogs, which are existing clients that are giving us 200, 300, 400 workstation orders. And we get those types of orders now almost on a weekly basis that are in filling capacity as well. So it’s safe to say that the new deals that are being done and the expanded deals that are being done, probably the majority of them are larger deals. But that said, there is still clients that are constantly adding all over the globe to whatever their needs and requirements are. But it goes without saying that our target is focused on larger overall deals.
Thomas Smith - First Analysis : Okay. Great. Thanks a lot.
Operator: Our next question is from Shlomo Rosenbaum - Stifel Nicolaus.
Shlomo Rosenbaum - Stifel Nicolaus : It looks like a good quarter, and I just want to ask a little bit more about the bookings in the pipeline. If you can comment a little bit more about what the pipeline looks like versus say three months ago; you’ve had really good bookings for three quarters. And also, is this like the bogey going forward, you think that $100 million a quarter is a good bookings number to set expectations at?
Kenneth Tuchman: Just because I want to be conservative, I would say that, no, we don’t feel that way. That’s probably not what you want to hear, but we’d rather be positively surprised than disappoint. I think that is it possible for us to continue to have quarters like what we’ve been announcing over the last three quarters? Yes. Very much so. That said, I do believe that there is a fair amount of uncertainty out there as it relates to things and a lot of distractions, et cetera, and so I’d rather be cautiously optimistic. We feel pretty good about the quarter that we are in right now, as far as signing; we’re half way into it. We’ve got a big push to get certain deals done over the next 30 days or so. And hopefully, those deals won’t push into the next quarter. This quarter just for the record, when we look back at the last five years or so, John and I were just looking at trends. Second quarter, historically, is our lowest signing quarter of the year. We believe the reason for that is, is that it is a ‘tweener’ quarter, meaning that third quarter is usually our bigger signing quarter, and in many cases, our biggest signing quarter because that’s when people are putting in motion their future fiscal year planning and therefore they want to achieve and realize the full year benefits they have to make a decision by third quarter at the very latest in order to get an 2009 benefit. We tend to see in second quarter beginning next month a lot of time being taken off, vacation time, kids out of school, et cetera. And so there is distractions that are going on and contract signings get delayed. I’m just being a little optimistic based upon what we’ve seen in the past. If you look at what happened last year, you’ll remember on our conference call we said that beginning in the month of August, we saw acceleration of deals getting signed. We would hope that that same trend takes place again, meaning that people will be motivated to get them done in a short period of time, so that our lives are made a little bit easier as it relates to the ramps, and all the ramps aren’t pushed into fourth quarter, which creates a tremendous amount of inefficiencies and, quite frankly, stress.
Shlomo Rosenbaum - Stifel Nicolaus : And what level of signings do you feel you need to sign, let’s say in 2008 in order to achieve your revenue target for 2008, in order to really set you up well for what you need in 2009 to achieve your revenue guidance there?
Kenneth Tuchman: I think it’s safe to say that we’re well ahead of plan right now. I think that we would be very pleased if we signed between now and the end of the year $150 million worth of business. We’ll be very pleased.
Shlomo Rosenbaum - Stifel Nicolaus : And that’d set you up well for 2009?
Kenneth Tuchman: Extremely well.
Shlomo Rosenbaum - Stifel Nicolaus : Okay. A couple of other smaller questions here. What percent of revenue now is back-office non-voice services? And do you feel like you’re moving up the value stack as time goes on here?
Kenneth Tuchman: We’re asked that question all the time, and we’re actually working on a new model to try to figure out a way to calculate it because it’s been historically so difficult to breakout from existing contracts the way the SOWs are being written. If you give us another couple of weeks or so, we might have finally a way to give you very accurate answer on what the non-voice business is. What I would tell you is, is that, yes, we are seeing an increase in non-voice back-office business, and we’re excited about that. We’ve got a very strong reputation in the Telco space for understanding network engineering and back-office positioning and taking out a lot of the core back-office processes in the Telco space. It’s clearly an area that we’re going to continue to push on and focus on. We’re also seeing opportunities in a whole series of other businesses including spaces that we have no experience in due to the fact that this economy is really forcing CEOs to look at a lot of internal costs and say somehow we’ve got to take them out. And they’re realizing that by using a firm like ours, they can get to those cost formats that they’re trying to achieve almost instantaneously. We never suggested that the non-voice business was going to grow exponentially on a year-over-year basis. That said, I think that over the next three years, it will be safe to say that we will have, if not the majority of the non-voice business, certainly a very, very large chunk based on what our clients are bringing to us and based on what we’re seeing in the market.
Shlomo Rosenbaum - Stifel Nicolaus : And last, can you just give us what the revenue was for the divested areas in 2007, the total between the joint venture and Newgen?
John Troka: 8.7 million.
Shlomo Rosenbaum - Stifel Nicolaus : For the quarter?
John Troka: The first quarter of 2007, they were 8.7 million.
Kenneth Tuchman: About $9 million.
Shlomo Rosenbaum - Stifel Nicolaus : Okay. And then same for, if you go through the rest of 2007, I just want to see what year-over-year organic growth rate we’re looking at?
John Troka: It is approximately $30 million from Newgen and India last year.
Shlomo Rosenbaum - Stifel Nicolaus : Okay. Thanks.
Operator: Our final question today comes from Matthew McCormack – FBR Capital Markets.
Matthew McCormack – FBR Capital Markets : In terms of the labor markets because you certainly have to add bodies to continue to grow. Could you just characterize any changes that may have occurred over the last few quarters and specifically towards the Philippines?
Kenneth Tuchman: Matt your timing is really good. Last night I spoke to our General Manager and President of the Philippines, and I was getting an update, and we were talking about all the new locations that we are in the process of opening and signing leases and construction et cetera. What he said is that in the three years that he has been in the Philippine market working for us there, this is the first time that he has actually seen a pretty significant change in the marketplace as it relates to availability of labor and as it relates to what he believes is a slowdown by our other competitors. So we view that as a very positive thing. We think that we’ve been saying this all along. We think there is only going to be a couple of survivors in the Philippines and the rest, I think, are going to have to either consolidate or figure out something different to do. Consequently, we are benefiting in our recruiting efforts. We’re finding that there is more labor than we thought was actually available due to some of the downsizing of some of these competitors and the slowing down of their internal business. Although we don’t wish anything bad on our competitors, it’s a good thing for us and we think that’s going to impact our own internal attrition rates positively, as well as help us in other areas. Hopefully, will help offset the increasing energy costs that we are seeing.
Matthew McCormack – FBR Capital Markets : Okay. And you talked about in the past reinitiating your buyback once you’re current on your financials. What’s the status of your acquisition program?
Kenneth Tuchman: Matt, are you talking acquisition of other companies or acquisition of shares?
Matthew McCormack – FBR Capital Markets : Just the decision process between buying back shares and possibly acquiring other businesses; you talked about vertical, you historically haven’t had any traction in getting traction. You talked in the past about augmenting your growth through acquisitions. So, what’s the status of the availability of targets out there?
Kenneth Tuchman: A couple of things. First, relative to our share repurchase program, just to remind everybody, we have just over $50 million still available under our Board authorization to repurchase shares. Right now, as we look at that as an investment opportunity, we think that that’s extremely accretive and something that’s very attractive to us. Relative to acquisitions of other companies, again, we continue to see quite a bit out there in the marketplace that has become available. Unfortunately, there is a lot of stuff that is in the, let’s say, $10 to $50 million range, which when you get right down to it, would take a lot of time and energy to integrate; isn’t necessarily that valuable to us. Again, a lot of it is in essence acquiring contracts. We continue to look for companies that will either enhance our footprint and/or provide us with some new technology or service that we can offer to our existing client base. With that said, we do see that some of the valuations have come down. It is surprising to see how much private equity money is still out there and available and being used to purchase companies and some of the multiples that they are continuing to pay for companies. So again, we are being very diligent in what we are pursuing at this point in time to make sure that we are not going to get ourselves into something that is not going to continue us towards our goal.
Matthew McCormack – FBR Capital Markets : Okay. Great. Thank you.
Operator: This concludes the TeleTech’s first quarter 2008 business update conference call. Thank you for participating.